Operator: My name is Manachia, and I will be facilitating the conference call today. I would like to welcome everyone to UMC's Fourth Quarter 2005, Earnings Conference call. All lines have been placed on mute to prevent background noise. After the presentation there will be a question and answer period, please follow the instructions given at that time, if you would like to ask a question. This conference call is also being broadcast live over the internet. A replay of the call will be available at www.umc.com under the Investor Relations/Investor Events section. A telephone replay of the call will be available at 10.a.m New York Time and will run until midnight February 15th, 2006. To access the replay please call 888-286-8010 or 1617-801-688 if you are calling from outside of the US. The access code will be 563-477-64. I would like to introduce Mr. Chitung Liu, CFO of UMC. Mr. Liu, you may begin.
Chitung Liu, Chief Financial Officer: Thank you. Welcome everybody, thank you for your continued interest in UMC. This is Chitung. Hopefully you had prior the chance to look over the earnings announcement that we putout earlier talking about the Q4 and overview of 2005 performance. In today's call, we will discuss the following topic operating results for the fourth quarter of last year, and update on our business guidance on Q1 2006. And we will follow with Q&A session. Before we conduct the call, I need to go over to present Safe Harbor policy. Certain statements made during the course of our discussion today may constitute forward-looking statements that are based on management’s current expectations and beliefs, and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including risks that may be beyond Company's control. For this reason, please refer to UMC's filing with the SEC in the US and SFE in the ROC. With that let me turn over the call to UMC's CEO, Dr. Jackson Hu. And then we will give you chance to ask a question.
Jackson Hu, Chief Executive Officer: Thank you, Chitung, and thanks to all of you for joining our call today. First of all, I would like to start wishing by everyone a happy 2006. Next is the summary of Q4 2005. In our last conference call, we notice that we were expecting tremendous strength in the communication segment of the business, increase of demand for wireless communication, PC chipset and LCD drivers in the computer segment whereas the key drivers for the sensational growth in our first quarter. Higher shipments of the leading-edge technologies were also a primary reason for the 2% of sequential increase in blended ASP. As a result our Q4 revenue grew 15.5% and gross profit increased 68.3% sequentially. Revenue increased to 16.5% quarter-to-quarter to $27.47 billion of NT from $23.58 billion of NT in the third quarter of 2005, a decreased 2.7% year-to-year from 28.23 billion NT in Q4 2004. Gross profit was NT 4.97 billion or 18.1% of revenue compared to NT 2.95 billion or 12.5% of 3Q 2005 revenue. Operating profit for the quarter was 928 million NT or 3.4% of revenue. Revenue growth was the key driver for the higher profits and margin during the first quarter. Net income in 4Q 2005 was NT 3.04 billion, an increase of 40.6% compared to NT 2.17 billion in 3Q 2005. Earnings per ordinary share on EPS for the quarter were NT$0.16. Earnings per ADS were US$0.024. This compares with 3Q 2005 earnings per ordinary share of NT top ten and earnings per ADS of the US$0.018. Due to seasonal adjustments as partially in December, our 90-nanometer shipment accounting for 14% of revenue from 2% to 3% short of our earlier expectations. Although I was thinking however, we have had some great success in 2005, with customer’s engagement with 90-nanometer technology. In Q1 2006, 3 additional customers have started more volume protection. In fact, in revenue generation and utilization improvement will become more significant in Q2 and Q3 of this year. As we entered 2006, the big areas of focus are better understanding and meeting the needs of our customers in advance process technology. In mid-January, jointly with our customer Xilinx, we have achieved first significant success for a 65-nanometer FPGA product. This product uses its 3 Gig outside and the 11 layers of copper interconnect. We are continuing focus on improving yield, the quality and the customer satisfaction in the 90-nanometer and a 65-nanometer business. We believe this will be essential for us to improve the fast utilization. Turning into the first quarter we are expecting, wafer shipments to decrease by 7 to 8 percentage point. Wafer ASP in US dollars decreased by 1% to 2% percentage point. Due to the NT appreciation, the impact to revenue is estimated to be 5 percentage points. The capacity utilization rates will be approximately 75%, and we expect to have approximately breakeven into the operating level. Percentage of 0.18 micron and the below revenues is around 55% of the revenue for 90-nanometer is expected to be in a mid-teen percentage. The consumer segment is expected to be the strongest followed by computer segment and communication segment. The 2006 CapEx budget is US$1 billion. The single biggest factor affecting our performance in the quarter is likely to be the seasonal slowdown in the communication segment of the business. This business first to quarterly conference after I took the Chairman responsibility, I would also like to provide you my vision and directions of UMC. Moving forward UMC will think and act like a startup company, but our attributes that characterize the startup company, just made an appeal. Solid execution, low profile attitude, and among interest in superficial appearance has come focused on customers satisfaction, and its ability to quickly deliver the technology and the service that customers require. Startup companies usually have high pressure in the constraints in financial resources, fortunately UMC has accumulated the considerable among of financial strength over the years, through world use business trends wisely for aggressive research and development programs, capacity expansions and retaining and recruiting talented people. We will focus on our core officers making a complete effort to maintain and further strengthening our technology leadership, and the continuously improve our foundry service model. UMC has an excellent team. Over the last 2 years we have seen great improvement in many areas, including the developments of advanced process technology, the investments of production efficiency, the expansion of our customer base, and to the development of intellectual property. I am extremely proud of the achievement of UMC's world-class team. In UK, we expect to see a cost of impact on all operating results in the near future. With respect to the regulatory issues mentioned in the press release lately, we don’t anticipate any material impact to the updating our financial performance of the company arising other obvious issues. We believe that we are moving in the right direction and are quiet pleased that we were able to keep our focus in customer satisfaction. So I think we are ready for questions.
Chitung Liu, Chief Financial Officer: Okay operator, we are ready for Q&A
Questions-and-Answer Sesssion:
Operator: Thank you sir, ladies and gentlemen if you wish to ask a question at this time please key "*" followed by "1" on your touchtone telephone. If your question has been answered or you wish to withdraw your question you may key "*" followed by "2". Questions will be taken in the order received. Please press "*' "1" to begin. Our first question comes from the line of Andrew Bates of Susquehanna International Group. Please proceed.
Q - Andrew Bates: Hi good evening, can you tell us how you expect depreciation to trend in 2006, you know was the percentage of revs or an obsolete terms versus 2005?
A - Jackson Hu: The absolute term versus 2005 is going to be about 7% decline year-over-year based upon the current CapEx project.
Q - Andrew Bates: Okay, great and then one follow-up given your communications exposure, can you describe those components to that business in Q1 and maybe tell us what stronger and what's weaker?
A - Jackson Hu: I don’t know, I don’t fully understand your question. Can you elaborate a little?
Q - Andrew Bates: Certainly just looking for an overall description of your communication business in Q1, so how is wireless versus wireline trending etc.?
A - Jackson Hu: Okay we see seasonal adjustment in both areas.
Q - Andrew Bates: Okay, thank you very much.
Operator: Thank you sir, our next question will come from the line of Sunil Gupta of Morgan Stanley, please proceed.
Q - Sunil Gupta: Hi, I want to get a better understanding of your revenue Chang leading-edge processes, if you could help me understand which would 90-nanometer and 0.13 micron account for in Q1, and what do you understood the trend to be as we go into Q2 and beyond?
A - Peter Chang: As we mentioned earlier the guidance for 90-nanometer will be around the mid-teen percentage points and or else the 0.13 micron, I think will stay the same as Q4.
Q - Sunil Gupta: So on 0.13 and below it would be very similar to Q4 in total?
A - Chitung Liu: There should be a tougher percentage decline in 90, but they are in a mid-teen range.
Q - Sunil Gupta: Okay and what could you expect 0.13 micron and below if you look like for Q2 and Q3, and what kind of trends do you anticipate?
A - Jackson Hu: It's our estimate or expectations that by the end of this year, the combined 90-nanometer and 0.13 micron percentage will be 50% plus.
Q - Sunil Gupta: This is by Q4 of the current year?
A - Jackson Hu: Yes
Q - Sunil Gupta: Okay, and I had a follow-up question on your capacity plan, with the CapEx guidance that you have provided, what kind of capacity do you anticipate by Q4 of the current year?
A - Jackson Hu: The guidance that we have is 1 billion and we expected to start to spend in Q2 and Q3 to anticipate for the demand in the second half of the year, I think that, that’s the situation that I can describe.
A - Chitung Liu: Well, you can tell that 32% were both into equipments for capacity, tax drops to 830 million and that will give us roughly 10k also dropping towards our capacity.
Q - Sunil Gupta: Okay, alright thank you.
A - Chitung Liu: Yes welcome.
Operator: Thank you sir, our next question will come from the line of Robert Maire of Needham. Please proceed.
Q - Robert Maire: Yes, can you give us an idea of what you see as inventories that were out there in buy bank or in finished devices and what areas might have higher inventory, what might have lower inventory?
A - Jackson Hu: Except a couple of our customers, we don’t see inventory issue across the Board.
Q - Robert Maire: Okay, and the guidance for Q1 being down, is that just customers being conservative not trying to build inventory or just more conservatives I mean in their build plans going forward?
A - Jackson Hu: I think it’s a seasonal adjustment mainly
Q - Robert Maire: Okay, so you would consider that to be within a normal seasonal range of downtick for Q1?
A - Jackson Hu: Yes, I would think so.
Q - Robert Maire: Okay, thank you.
Operator: And our next question comes from the line of Mr. Gilley of Nomura Securities. Please proceed.
Q - Gilley: Hi, I wanted to understand as to the reasons as to why you understate the CapEx, its got a budgeted CapEx in 2005, rather than even that you underspending 4Q compare to various plans were?
A - Jackson Hu: Yes, as the year went on in 2005, we gauged the customer progress in Advanced Technology product and some of them, you know start to show delay and therefore we adjusted our spending accordingly.
Q - Gilley: May be its early on the 90-nanometer, do you still have some customers who are offered Bi based driving or across the Board it has now moved to rest of this?
A - Jackson Hu: That will be both
Q - Gilley: So could that be one of the contributory reasons that your colleagues are not yet up there where you feel comfortable enough to spend?
A - Jackson Hu: No, that’s not the reason, it’s just we have several new customers, high volume customers that we engaged a year ago or a year and half ago, and they, we have to wait and until their product get ready, so as we start to see, comfortable sign for that then that triggers our spending.
Q - Gilley: Okay, and in Q4 what was your single largest customer exposure, how big was it in magnitude?
A - Jackson Hu: I think it’s totally, the single largest customer that contributes with the 15% of their revenue in Q4.
Q - Gilley: 15%, and when you buy the declines in Q1, I’m just trying to understand the reason because I compare with all against, all your fears, the guidance as being flat to mix single digit growth, so this decline is it largely because of one or two customers, or the customers specific rather than across the Board?
A - Jackson Hu: Its hard for us to comment on the individual customers, basically the area we see weakness is mainly in the communication area that our few customer who start the inventory production in late Q4, and we won’t be able to comment on the individual customers related information, but as we said that our legacy capacity that you our admission rate, we are relatively higher nearly 40 utilize in the first quarter of 2006
Q - Gilley: Okay and how big was LCD drivers as a percentage of shipments in Q4?
A - Jackson Hu: Above 15% from the driver IC.
Q - Gilley: Okay, one final decision on your 0.65 micron RAM, how do you expect significant you can give some guidance as to where do you expect to see 0.65 micron capacity like immediate?
A - Jackson Hu: Okay, I think that we are in the qualification phase with the first customer, and we just had reported that our second customers Xilinx has been working on both and so from this year we basically will be in the preparation stage for 65-nanometer length, so the total revenue contribution in 2006 will not be very significant and we expect the RAM to happen in 2007 and however the equipment preparation will happen in the second half of this year.
Q - Gilley: Okay, so what is the hike assumed at by mid ’06, you won’t have any volume going into 0.65 micron and it is only by end of the year that you would have certain capacity moved on fixed size.
A - Jackson Hu: That is corrected statement
Q - Gilley: Thank you.
Operator: And our next question will come from the line of Bhavin Shah of Morgan Stanley. Please proceed
Q - Bhavin Shah: Yes, sorry JP Morgan, just a couple of questions, one was Jackson you mentioned that 50% of revenues from 90-nanometer by the end of ’06 did I hear that correctly?
A - Jackson Hu: Q4, 15%
Q - Bhavin Shah: Right
A - Jackson Hu: 15% by the end of 2006 is 15% of 0.13 and 90-nanometer
Q - Bhavin Shah: Okay 0.13 and 90-nano. I have a more of a long-term question and it pertains to the Fab 14 for UMCi, I am just wondering if you have considered any other alternatives for Fab 14, given it seems to be from the key reasons for a drag in your profitability. In other words if you would exclude Fab 14 you will probably have a much better operating model, I was just wondering I would like to hear your thoughts on.
A - Jackson Hu: Yes, well based on customer demand and based on the number of product in advanced to note including both 0.13 micron and the 90-nanometer, we expected to feel the capacity by the end of this year, so that you know the concern that you have hopefully well the result we put at the end of this year.
Q - Bhavin Shah: Right, but is there any you know that’s good, I guess is there any strategic I will argue that there is no strategic advantage to having a separate fab in Singapore, you know you have that capacity?
A - Jackson Hu: On the contrary, the geographic location for Fab 12i in Singapore is preferred by naming American and European customers and that they consider is the neutral place as no earthquake, no typhoon and they can communicate effectively when they go there and many of them has established operation in Singapore.
Q - Bhavin Shah: Right I guess I just wonder how your profitability would look if that business you are doing out of Taiwan and sort of Singapore? Thank you anyway.
A - Jackson Hu: Thanks.
A - Jackson Hu: Hello.
Operator: Yes sir, we are ready for our next question.
A - Jackson Hu: Yeah if I need, doesn’t have the follow-up question, yes we are ready for next one
Operator: Our next question comes from Mark Bittman of Pacific Crest Securities. Please proceed
Q - Mark Bittman: Good evening gentlemen, your CapEx numbers for 2005 and 2006 is pretty operations in Taiwan and Singapore, but its future operations in Japan, is this correct?
A - Jackson Hu: Yes I guess Japan has a very tiny CapEx last year and this year.
Q - Mark Bittman: Can you tell us what they spent in 2005, and what you expecting to spent in 2006?
A - Jackson Hu: Last year its about say about only US$22 million. This year it should be similar, there probably won’t be any major spending in Japan following on in 2006, although it is mainly for maintenance purposes.
Q - Mark Bittman: Okay. And then on your expected utilization rate of 75% for Q1, can you explain kind of how you divide this estimate if I am taking a look to your capacity it looks pretty flat quarter-over-quarter and I am just wondering how you get to 75%?
A - Jackson Hu: This 7 to 8% increase in capacity, 982 in Q1 over 973 that’s of the few percentage increase and wafer shipment, and wafer out were declined by 7, wafer shipment were decline by 7% to 8% and there will be a similar range of numbers for wafer out.
Q - Mark Bittman: Okay so wafer outs and wafer shipments aren’t the same?
A - Jackson Hu: Sometimes you will have 1% to 2% or 3% difference.
Q - Mark Bittman: Okay excellent, and is there any maintenance adjustments that we need to be aware of your Q1 capacity?
A - Jackson Hu: Well that 75% doesn’t factor into maintenance but there are a few ones who use maintenance at an adjusted basis that will take away about 5% of our available capacity.
Q - Mark Bittman: Okay, which will actually raise that utilization number then?
A - Jackson Hu: Yes to roughly 80%.
Q - Mark Bittman: Excellent, and then just finally on your CapEx, how do you see that loading throughout the year, do you expect it to be more front half loaded versus the back half loaded?
A - Jackson Hu: Probably it was a stock in Q2 and Q3 to give that a capacity for the second half.
Q - Mark Bittman: Okay so do you, if you started in Q2 or Q3, do you expect to spend at least 50% of the budget then by Q3?
A - Jackson Hu: It's possible.
Q - Mark Bittman: Thank you very much.
Operator: And gentlemen our next question will come from Sunil Gupta of Morgan Stanley, please proceed.
Q - Sunil Gupta: Thank you I have a follow-up question on your 90-nanometer mix particularly in Q4. You mentioned earlier that this coming lower than what you were earlier anticipating. Could you help me understand exactly what happened, why did it coming lower and I am trying to understand what it means going forward?
A - Jackson Hu: Sunil, we are noticing that customers who started the seasonal adjustments in December, and that’s probably the best description of what happened.
Q - Sunil Gupta: And would you be able to talk about what end application discussed in the long run?
A - Jackson Hu: It includes communication, mainly in communication.
Q - Sunil Gupta: And based on your understanding of you know, based on your conversation with customers, is bulk of that correction of inventory digestion as you earlier, is that over or it have a long way to go?
A - Jackson Hu: We consider the seasonal adjustments in Q1 2006 is normal compared with previous years, and therefore we expect in Q2 to started to increase again.
Q – Sunil Gupta: Okay, and you also mentioned that you started production for two new customers at 90-nanometer. Could you help us understand what kind of end market applications are you focusing on?
A - Jackson Hu: Communications and then computer.
Q - Sunil Gupta: These new customers are in communications and computer.
A - Jackson Hu: Right
Q - Sunil Gupta: And all three of them will have wafer out in Q2?
A - Jackson Hu: I think so.
Q - Sunil Gupta: Great thank you.
Operator: And our next question comes from the line of Mehdi Hosseini of FBR, please proceed.
Q - Mehdi Hosseini: Yes, I have couple of follow-up questions. You mentioned that couple of your customers have inventory issues, if you can elaborate on which end markets those customers would belong to? And then, regarding the capacity mix of 90-nanometer as a follow-up to the previous question, I want you to dig in more and figure out what area of communications you're seeing that and its lower ramp for 90-nanometer. If you go back to what Texas Instrument, I assume one of your largest customers have to stay there. They have been constraining the capacity so, would that imply that, not the wireless, there is a coming in the below prior expectations and I have some other follow-up questions?
A - Jackson Hu: Yes, definitely, we cannot comment on the customers’ situation and always that, they don’t there were a couple of customers, we didn’t mean, we didn’t imply that is the communications or wireless communication. And if you follow the industry report, look at the end user of claims, you can probably figure that out, and it's not proper for us to mention customers’ name, or the end of customers’ names.
Q - Mehdi Hosseini: Okay that’s fair, and you mentioned, preparing equipments for 65-nanometer ramp in 2007, and you are going to prepare equipment by the second half of this year. I don’t see that part of the equipment preparation included in CapEx. So does that mean that you are going to place orders for 65-nanometer equipment in the second half, and that will be included in 2007, CapEx?
A - Jackson Hu: Those order could be earlier, and the spending could be in the, the spending will be in the second half, the CapEx numbers always refers to the spending that we actually paid.
Q - Mehdi Hosseini: Right, right, but you can just start planning for 65-nanometer over the next one or two quarters, correct?
A - Jackson Hu: That is good guess.
Q - Mehdi Hosseini: Okay, and then I joined the conference call a little bit late, did you mention utilization rate, for Japan and Singapore plant?
A - Jackson Hu: No, we don’t describe the individual fabs utilization.
Q - Mehdi Hosseini: But is it fair to assume that is well below average?
A - Jackson Hu: Currently, it is below average.
Q - Mehdi Hosseini: Thank you.
Operator: And the next question will come from Tim Arcuri of Citigroup, please proceed.
Q - Tim Arcuri: The question has been answered
Operator: And our next question will come from Donald Lu of Goldman Sachs, please proceed
Q - Donald Lu: Hi, one question that I have is at the 3Q Investor conference, I remember, you have commented that, you are togging to strategy is to, give it up scale first, and from that we can talk about special price and margins. And in light of your reviews to CapEx and that sounds like a good thing for your P&L, I was wondering whether that philosophy have changed in the last 3 months?
A - Jackson Hu: I remember also in the previous quarterly conference, I stated that our strategy moving forward for CapEx budget that will be depending on two factors, number one is our technology readiness, and the second one is the customers’ products readiness. So we will engage both factors and the trigger, the time and the pace for spending.
Q - Donald Lu: Okay, so this strategy is continued to be a usual focus right now?
A - Jackson Hu: That is correct.
Q - Donald Lu: Okay can you tell us the, I think in Q3, or Q2 you have talked about the law from UMCi, can you give that or speak again to us for Q4 and Q1?
A - Jackson Hu: Yes, there is no longer UMCi exist, it has been merged into the operation of UMC since April 1st of 2005. So there is no separate financial data for UMCi anymore, it's been renamed to clarify one of the sales incorporate that UMC has.
Q - Donald Lu: Okay thanks
Operator: And our next question will come from the line of Pranab Sharma of Daiwa (phonetic) Securities. Please proceed.
Q - Pranab Sharma: Thank you, couple of questions, firstly I guess could you give us your focus for the non-operating income for the first quarter '06?
A - Jackson Hu: First quarter '06 due to that we sold two third of our investment in our companies Hsun Chieh in January, we book about $15.7 billion profit as a non-operating income in percentage and that’s likely to be roughly the ballpark figure for Q1 for non-operating income. The others will offset each other to be around even.
Q - Pranab Sharma: Okay and do you need to pay taxes on this $15 billion or it will be tax free?
A - Jackson Hu: Its quite complicated. It will be partially tax, and to answer your question due to the minimum tax implementation in Taiwan 2006 UMC is expected to pay about 5% to 8% of tax for the 2006 including this $15.8 billion non-operating income.
Q - Pranab Sharma: Thanks. And now secondly on the NT dollar appreciation you have taken off the charges about 5%. So what is your NT dollar assumption so like I think I see your fourth quarter NT dollar is already $32.8, I think even if I take 5% on that, you are taking $31.2?
A - Jackson Hu: The number you have quote is the quarter end number for translation. The weighted average number we use in Q4 last year was around 33.5, and the basic assumption for Q1 on a weighted basis is 32.
Q - Pranab Sharma: Okay, now next one is on, I am holding some inventory for your customers as well under your balance sheet now?
A - Jackson Hu: Very little its inaccurate.
Q - Pranab Sharma: And, could you give us a little bit of idea about the progress on half-node 90-nanometer whether you are engaging any checkout activities out there?
A - Jackson Hu: Yes we do, and we have the customers working on half-node for 90, well that was 80-nanometer.
Q - Pranab Sharma: And when do you think that you will be able to do some productions at 80-nanometer, in commercial production?
A - Jackson Hu: From those given estimates it would be probably Q3 or Q4 this year.
Q - Pranab Sharma: And could you also give us some idea about when you see like non-communication related customers will account to your 90-nanometer technology?
A - Jackson Hu: I mentioned earlier that we have three new customers that is target risk production this quarter and that includes communication and a computer obligation.
Q - Pranab Sharma: So that will reflect probably at second quarter '06?
A - Jackson Hu: It will start to show in Q2.
Q - Pranab Sharma: Okay thank you very much.
Operator: And our next question comes from Mr. Gilley of Nomura Securities please proceed
Q - Gilley: Hi, I had a follow up question on the CapEx of 330 million which stands for actually to understand what's the function of that is going to go towards 65-nanometer versus the 90-nano?
A - Jackson Hu: Well, we don’t have the details of the great some.
Q - Gilley: Would it be fair to assume that the second half -?
A - Jackson Hu: Hello, your voice is breaking up, can you repeat please?
Q - Gilley: Yeah, would it fair to assume that in the second half majority of the CapEx would it be more 55-nano?
A - Jackson Hu: In the second half that is a reasonable assumption.
Q - Gilley: Okay, also one question looking at your fabless versus IDM's mix on, if you look at the past six months UMC along with the whole industry has grown nicely quarter like quarter in the utilization of that expanded but fabless growth has been relatively lot lesser, your 9.9% this quarter versus 33% in IDM, given in the pervious quarter you have your IDM jumping by 46%, so well I am just trying to understand what is happening in the fabless space, of course in the inventory direction, the orders don’t have to come back with the same magnitude as in the case of IDM, so is there market share shift, are you seeing any customer losses there
A - Jackson Hu: No I won’t see so, as a matter of fact that we've used - the marketing share of the major players been in the communication segments that you can tell and you cannot reach to a complete conclusion from the quarterly variation of fabless versus IDM and draw any conclusions there?
Q - Gilley: Within the fabless segment if you could characterize that which are the segments where you are seeing weakness versus expense going forwards in Q1?
A - Jackson Hu: Can you please repeat again?
Q - Gilley: Yes, I was wondering if you can help on the fab, explain as to within the fabless segment, which sub segments are you seeing related trends as you get into Q1 versus where you have seen the weakness?
A - Jackson Hu: Well in first two quarter, the consumer segment is considered as a strongest for example LCD driver and followed by computer and then followed by communications.
Q - Gilley: You are talking just about the fabless space, right?
A - Jackson Hu: Fabless sector yeah
Q - Gilley: Yeah. Thank you, that’s helpful
Operator: Your next question will come from Dan Heyler of Merrill Lynch, please proceed
Q - Dan Heyler: Hi, I had a question on your computer potential customer, there was a quite a bit of optimism about the possibility for advanced customer in the fourth quarter and that has been pushed out of, I was wondering what was causing that delay in the ramp of that particular product and what lead you to the confidence now, what's changed that, in fact you can ramp 90-nanometer for a computer related customer.
A - Jackson Hu: Dan, what I can say is that actually the computer customer’s product was quite to normal actually, the results were slight good.
Q - Dan Heyler: So that was a question more of their demand or need of the product not necessarily your execution?
A - Jackson Hu: I can’t comment on that.
Q - Dan Heyler: Okay and then on the communication space given your pretty high concentration there was in IDMs, is there an opportunity to expand within that given customer, do you think there is market share opportunities or do you feel comfortable current with your - current percentage share of that, or TI for instance, do you think there is more opportunity against share there?
A - Jackson Hu: Again, I cannot comment on any specific customer but I can tell you, it is our goal to expand our customer basis and so that we have more high volume customers in each of the application area, that way we become less vulnerable due to the marketing share shift among the customers.
Q - Dan Heyler: Right okay, so if you try to broaden out your customer basis at for instance on 90 and even now 65-nanometer, what you guys doing a little bit differently at 65-nanometer and what types of investments do you think you need to make to ensure that you do have greater diversity 65 versus 90?
A - Jackson Hu: Okay that is a good question, actually the investments has been made in the last two years, as we factor in the people talent, and also in methodology that we have includes in the company and all those contributed to the development enhancements in new Process Technology development for time to market the reason that we must offer the advanced process technology the biggest in the industry, so that both high volume customers can invite them.
Q - Dan Heyler: So, for instance do you think that it will have more IP qualified current sense that 65 to 90 or could you give a few more specifics there?
A - Jackson Hu: Yeah, as soon as the technology advance technology is available, then you can engage with customers, you can develop IP or customers can develop IT and then that will affect the – that will help customers to become ready for their new generation products. So that is where I think the answer is yes.
Q - Dan Heyler: Right okay, so and in this phase which you are seeing right now is your process is ready and people are developing, when that the sight, I mean your enhanced that’s now for instance in low power so. How much IP, how ready are you from IP standpoint to get into Q4 applications in your standpoint and how far are you on?
A - Jackson Hu: Okay its hardly to quantify how much IP. IP in crucial send us a library, the memory compliers to I/O's and end of IP and also you in the last two years who have significantly improved our capability for developing IP in generally and also for working with other IP vendors, so that has become almost a none issue for us in this stage.
Q - Dan Heyler: Okay, its helpful thank you.
Operator: And our next question comes from Ivan Goh please proceed.
Q -Ivan Goh: Hi good evening. I have one question, this regarding your business resolution in UMC and you talked about UMC having to reinvest provident there lot of Company. I just want final, if you can, if you have such, your employee or quantitative target over the next 1,2,3 years, that Company would look through it, and they will help us to analyze whether the Company is between those profits or not.
A - Jackson Hu: Okay, very good question and our new direction has been truly communicated internally, and the issue departments, down to each project agent program, has its suggested with the goal and that we attracting, or will be attracting them on the monthly and quarterly basis. So it's just like a start up Company, if you miss the major milestone, you are losing your customers, and that will affect the impacted the existence of the start up Company. It’s a life invested situation and that kind of mentality that we have established.
Q - Ivan Goh: Is there any quantity target that you can share maybe or
A - Jackson Hu: We have internally and the stock profit to nation an numbers and also again, there are so many quantitative numbers that could be report to be in difference in manners. So it's not a proper to, and it giving content to answer that.
Q - Ivan Goh: Thank you very much.
Operator: Your next question is a follow up from Rohit Sharma , please proceed.
Q - Rohit Sharma: Hello
A - Jackson Hu: Hello.
Q - Rohit Sharma: Yes, I just doesn’t want strategic questions say if we see on the 19 nanometer side, you have started ahead of other foundry companies, but if we see today like your, probably is expected behind with a number of customers or you can percentage of revenue coming up from that particular technology. And going forward in 65-nanometer means, if there is a customers who is willing to use your 65-nanometer how that going to convince them that you will be able to deliver a good processing or capacity support such that they can come to you and use your new process most smoothly and that is I think that the questions to customer to let this point.
A - Jackson Hu: Okay that is good question and you may keep all the 90-nanometer and many people give them notice that we have to do 90-nanometer size. First to start at 8 inch pack because at that time I will probably use inch pack was not as established and we didn’t have the equipment and moved in. So we have to do again twice and additionally equipment a differences doing probably inches like totally new efforts, so that was the reason for that you have just described. And in the case of 65-nanometer old R&D and the developmental efforts that is involved in the fact, and it is enough towards the manufacturing what happen, so therefore you will be much more loose condition
Q - Rohit Sharma: And hasn’t great probably people go for final dis-angle DFM will come in to picture and if you see don’t have your own mass shop. Do you think that you will have some marketing out there even you get a data from customers you are not able to through the mask house?
A - Jackson Hu: On the marketing house is not an issue, that we have working with the either us to leading mask house which have whole control of their investors not making and that is not an issue at all
Q - Rohit Sharma: That is on the DSM you are the mask house will be also incorporate to your model
A - Jackson Hu: Yes we have been working with the mask house and also EBA tool venders. So address the DSM issues and we have poor control of DSM
Q - Rohit Sharma: Thank you very much
A - Jackson Hu: Operator we have time for one last question
Operator: And our last question comes from Matt Gable of George Wright Associates. Please proceed
Q - Matt Gable: Hi, if you can give any guidance or any outlook on what you see certainly demand as in 2006 versus ’05, and also could you give some color on the current wafer stock environmental, thank you.
A - Jackson Hu: Okay currently we don’t see any maximum factors that would effect the 2006 demand was the matter of fact that many customers are very bullish about the demand in the second half of this year. As far as the total demand according to some of the markets research organization and they expect to be see 10% to 15% growth this year I think last year was around 10%
Q - Matt Gable: Okay what about the current wafer start environment are you, where you seeing any thing at normally can surprising one where the other
A - Jackson Hu: Nothing abnormal
Q - Matt Gable: Okay that’s it thank you
A - Jackson Hu: Thank you
Operator: Gentlemen we have no further question at this time, I would like to turn call over to Mr. Liu for closing remarks
Chitung Liu, Chief Financial Officer: So, that’s concludes our call today. We thank you for joining for this conference and I we want go to the attention for few more items. A links of the replay of this will be available on until the end of Tuesday April 11th, 2006 on the investor relations section of our website and dial-in version of the replay can be heard at 888-286-8010 if you are in the U.S. or at 1617-801-6888 for international calls. The dial-in replay will be available until midnight on February 15th, 2006. The access code will be 56347782. If you have any additional questions, please feel free to contact us directly. Thank you again, and hopping a good day. Thanks to every one.
Operator: That concludes our call you want to drive your attention for few more items and list replay of this call will available until the end of Tuesday April 11th, 2006 on our investor relation section of our website. The dial-in version of a replay can be heard at 888-286-8010, if you are in the US or at 1617-801-6888 for international calls. The dial-in replay will be available until midnight on February 15th, 2006. The access code will be 563-477-64 if you have any additional questions, please feel free to contact us directly. Thank you again and have a great day.